Operator: Thank you for standing by, and welcome to the Tuas Limited Full Year Financial Year 2025 Results. [Operator Instructions] I would now like to hand the conference over to Mr. Richard Tan, CEO. Please go ahead.
Richard Tan: Thank you. Good morning, and thank you for joining us. I'm Richard Tan, Chief Executive Officer of SIMBA Telecom, the principal operating entity of the Tuas Group. Also on the call today are Mr. David Teoh, Executive Chairman of Tuas Limited; and Mr. Harry Wong, Chief Financial Officer of SIMBA Telecom. It's a pleasure to present the financial results for Tuas Limited for the fiscal year ended 31st July 2025, covering the period which started 1st August 2024. Let me briefly outline today's agenda as shown on Slide 2. We'll begin with Harry, who will walk through the financial performance and key metrics for the year. I'll then provide an update on our operational progress, strategic initiatives and outlook for FY '26. We'll conclude with a Q&A session to address any questions you may have. Please note that all financial figures discussed today are denominated in Singapore dollars. With that, I will now hand over to Harry to take us through the numbers.
Harry Wong: Good morning, everyone. My name is Harry Wong, CFO of SIMBA Telecom. I'll be presenting the financials of the Tuas Group. On Slide 3, you will see that we achieved a notable improvement in the financial results during FY '25 when compared to FY '24. Revenue for the year is $151.3 million, up from $117.1 million last year. EBITDA increased by 8%, up from $49.7 million in the prior year to $68.4 million. We achieved a full year positive net profit after tax. Net profit after tax of $6.9 million is a significant improvement on the prior year's loss of $4.4 million and represents a major milestone for the group. Next, we look at the revenue and EBITDA on Slide 4. Revenue for the year ending 31st July 2025, increased 29% compared to FY '24. With the increasing scale of the business, EBITDA margin has improved to 45% of revenue. Gross ARPU for the year was $9.60. The key drivers of this EBITDA uplift continue to be an increased subscriber base and expanded plan mix catering to different customers' needs. Our plans include generous roaming data at every price point. Slide 5 shows our sustained mobile subscriber growth since FY '22. As of 31st July 2025, we have about 1.254 million subscribers, representing a 19% increase over the past 1 year. We estimate SIMBA's mobile subscriber market share to be around 12%. Slide 6 shows the mobile -- Slide 6 shows the broadband subscriber base. As of 31 July 2025, we have approximately 25,600 active services, adding 22,000 subscribers over the year. We proceed to the cash flow on Slide 7. We continue to show positive cash flow. Opening cash and term deposit balance was $55.3 million. Net cash generated from operating activities was $81.2 million. The main cash outflow comes from acquisition of plan and equipment and intangible assets of $55 million, largely mobile network and some fixed broadband infrastructure. This brings the ending cash and term deposits to $80.7 million as of 31st July 2025. Again, positive cash flow after CapEx for the year is a welcome achievement. With this, I will let Richard proceed with the business updates.
Richard Tan: Thank you, Harry. The Singapore mobile market remains highly dynamic. Over the past financial year, SIMBA has focused on delivering enhanced value across all price points. This strategy has resonated strongly with consumers as reflected in our continued subscriber growth. Notably, our $12 plan has gained significant traction due to its generous APAC roaming inclusions. Coupled with free IDD, our portfolio of plans appeal to the mass market, frequent travelers and migrant workers alike. We have broadened our retail footprint to increase accessibility of SIMBA products. This includes island-wide availability at 7-Eleven convenience stores and sales counters across the 4 Changi Airport terminals. These strategic placements have driven growth in prepaid activations, particularly among inbound travelers. To support our expanding customer base, SIMBA continues to invest in network capacity and user experience. Our infrastructure enhancements are complemented by the rapid expansion of our 5G coverage, which remains on track to exceed IMDA's regulatory benchmarks. Slide 9 covers our fiber broadband business, which, although still in its early days, is scaling faster, driven by a clear and compelling value proposition which includes true 10 gigabit per second speed, lowest market price, latest Wi-Fi 7 technology, no upfront costs, free ONT and router. This simplified high-value offering is resonating with consumers, and we intend to build on this momentum. Moving to Slide 10. On 11th of August 2025, we announced the proposed 100% acquisition of M1 Limited, excluding its ICT business, for an enterprise value of SGD 1.43 billion on a debt-free and cash-free basis. This transaction will be funded through existing cash reserves, AUD 385 million completed equity raise; SGD 1.1 billion in fully underwritten acquisition debt financing; up to AUD 50 million via a share purchase plan, which is expected to close tomorrow, 21st September 2025. A key step required prior to completion of the acquisition, if approved by the Singapore regulator, the Infocomm Media Development Authority, which has responsibility for regulating competition issues for -- in the telecommunications industry in Singapore. This process requires an application to be made by the parties to the consolidation. Together with M1, we have prepared and submitted to the IMDA the long-form consolidation joint application, and we are hoping to get regulatory approval in the coming months. And finally, the business outlook. The financial year has begun on a firm note with sustained growth in both mobile and fiber broadband segments in line with our expansion. SIMBA's stand-alone CapEx is projected to be between $50 million and $55 million for the full year. We will also remain focused on margin optimization and disciplined cash management. I will now hand it back to the moderator for the Q&A session.
Operator: [Operator Instructions] Your first question today comes from William Park with Citi.
William Park: Hopefully, this one is for -- firstly, this one's for David. Just a big picture question around the technology and network engineering that you've been able to sort of implement in Singapore. And could you just step through whether that's given you sort of a leg up in starting up and expanding SIMBA in Singapore versus, say, when you used to run TPG Telecom back in Australia?
Richard Tan: Maybe I will handle this question. Richard here. Yes, I think...
David Teoh: It's better than Richard handle it because he is more familiar than me. So Richard, thanks.
Richard Tan: Okay. Thanks, David. So the technology that we use, obviously, was -- or rather, let me take one step back. TPG -- it started as TPG, and obviously, we transitioned to SIMBA as we're all aware. And we built the entire platform, both hardware, software and the network without any legacy. That has given us, obviously, an advantage because there were a lot of issues that we did not have to deal with entirely. We started -- we had started with 4G, and there are a lot of the equipment that we made were easily upgradable to support 5G. So in summary, we are in a very, very good position, and this has obviously been reflected in the growth as well as our CapEx efficiency and OpEx efficiency. Not quite sure if I addressed your question, but please feel free to jump in.
William Park: That's very clear. Can I just ask about the EBITDA margin? Clearly, 45.2% for the full year is sort of in line with what you guys have delivered in the first half. But I'd imagine in second half, there would have been costs associated with M1 acquisition. Could you provide some color around the quantum of those acquisition costs that you have incurred? And because I'm trying to get to sort of the EBITDA margin on a like-for-like basis without these acquisition costs. And would it -- that's sort of a floor margin that you guys are thinking about for SIMBA business going forward?
Richard Tan: So as you know, it's still early days because a lot of the work that was done was previously on the due diligence part of it, which led to the announcement, which, again, all of you are aware about. We don't give out -- we don't give the breakdown of costs. But obviously, what we will do moving forward is ensure that analysts as well as investors have clarity in terms of what the -- how the business is trending without the other costs associated with the acquisition. So that's something that we'll provide information on moving forward.
William Park: Yes. That will be very helpful. And just one last one for me. Just around broadband ARPU in second half appears to have stepped up a fair bit versus first half. Just wondering what's driven this, particularly given with all these promotional activities that's going on in Singapore and your competitor is taking a pretty aggressive pricing strategy. Just wondering what's driven that uplift in ARPU. And I know you guys don't provide sort of a margin profile for mobile and broadband separately, but just if you could sort of direct us around how we should be thinking about broadband margin sort of going forward?
Richard Tan: Okay. So it's a good question, but I think it is clear that we have a very simple product with regards to fiber broadband. Originally, we started at $19.99 and then now it's $29.95. So what we are trying to say is that we have been transitioning a lot of our customers from the old plan, which was at 2.5 gigabit per second to the 10 gigabit per second. So that obviously is driving an increase in ARPU. So that's pretty much to it.
Operator: Your next question comes from Hussaini Saifee with Maybank.
Hussaini Saifee: I have several questions. I'll go through it one by one. First is a question on the acquisition side. I understand that a part of the M1 network is with Antina, which is a joint venture with your start-up. So just wanted to understand, do you have any preliminary discussion with your start-up on that side? Then how you are going to also integrate the SIMBA network onto their network and potentially sharing on the cost side and things like that? So just if you can give your view on the side, that will be helpful.
Richard Tan: Okay. Thanks for your question. As mentioned, we are still in the early phases as far as the consolidation application is concerned. With regards to Antina, it's too early to comment right now. But obviously, what we have observed is that Antina has served M1 well in terms of its 5G strategy. So given that we are in the process of engaging IMDA on the long-form consolidation application, I think that's as much color I'm able to provide.
Hussaini Saifee: Understood. Maybe then moving on to the potential approach of the enlarged SIMBA post consolidation. I just wanted to understand that given the competition in the market and given how the other MVNOs and the flanker brands have put the pricing down, how should we see the competition evolving post consolidation? Will the enlarged SIMBA -- I mean, is the market share going forward in your view to grow in this market? Or do you think that there is room for prices to go up? And I also wanted to get your view on are you comfortable with your market share? The enlarged market share is around 25% or so. Or would you like to maybe try to inch it up forward -- upwards?
Richard Tan: Okay. I note that you refer to the enlarged market share. So I think that what we can say right now is that, firstly, we don't really talk a lot about competition. We focus more on our own growth. SIMBA stand-alone, as indicated earlier in my presentation, the year has become on a firm note, and we are progressing in terms of growing our subscriber base. As far as M1 is concerned, they have their strength in the postpaid handset bundling. And we note that they are obviously very active in that area as well. So again, on a combined basis, early days. I can't really say much; too premature. So I would like to leave it as that.
Operator: Your next question comes from Darren Odell with TELUS Capital (sic) [ Peloton Capital ].
Darren Odell: Congratulations on the strong results. Just a couple of questions. Just on numbers. I did notice that the gross margin came off a bit in the second half [ versus ] the first half. Just wondering the [indiscernible] there and what we should be thinking about going forward. On top of that as well is the broadband adds in the second half, [ if going upward ] not as high as the first half adds. I'm just trying to figure out [indiscernible] or how should we think about [indiscernible] into the next financial year as well.
Richard Tan: Sorry, you're coming in rather muffled. So I would have to kind of like guess what your questions are about. So I think you're asking about gross margins of second half versus first half?
Darren Odell: Yes.
Richard Tan: As you know, we have been working hard to maintain our growth margins. And as I've always indicated in our past presentations, we want to continue to grow as much as we can. So obviously, as we move from quarter-to-quarter or half-to-half, we will invest to ensure that we keep up with our growth momentum. That has always been our priority. Now with regards to broadband adds, could you please repeat your question again?
Darren Odell: Just in the first half, the [indiscernible] number was high from [indiscernible] in the second half. I just wonder how should be thinking [indiscernible] for [indiscernible] why that [indiscernible] was first half to second half?
Richard Tan: Some of it is seasonality. And as I've said, it depends on the promotions that we run. So as of this rate -- as of this moment, we are comfortable with the growth rates with regards to fiber broadband.
Operator: Your next question comes from James Bales with Morgan Stanley.
James Bales: My question relates to the previous one. Just on the outlook commentary on mobile and broadband subs continuing to grow. Is that referring to the percentage growth rate or absolute subs added?
Richard Tan: Well, if you look at our track record for the past 5 years and how we're trending in terms of growth rate, I would just like to leave it that, that's the continued path, the trajectory that we -- at least the early indications are indicating. So I'm not going to talk whether it's absolute number in terms of percentage. But if you look at the trend itself that we are progressing as what we have done for the past 5 years.
James Bales: Okay. Got it. And on one of the slides, you highlight the value proposition in your $12 a month mobile plan. But the ARPU actually declined in the second half versus a year ago and versus the first half. Can you maybe help us understand why when that value proposition looks so strong for the higher price plan, why you've seen ARPU go down?
Richard Tan: I don't think ARPU went down noticeably, right, especially in this highly dynamic market. What we have noticed is that there are, for example, increased popularity for our $12 plan. So that's obviously very good for SIMBA. And we are also continuing to gain significant traction for our senior plans. So all in all, it all balances out to the ARPU, which we have presented as $9.60.
James Bales: Okay. Got it. And then maybe just on CapEx. You've called out stand-alone CapEx of $50 million to $55 million. I guess we have to -- we're trying to sort of figure out what the -- what that could look like in a post M1 completion world. If that deal does complete, how material would the change in CapEx profile be?
Richard Tan: It's really hard to comment right now because, as I said, while we have done some analysis, it's still very much in the early stages. So we would have to understand the M1 network architecture, get a deeper understanding of it and see how we can derive the synergies. So one thing is for sure, we will not compromise on network quality or user experience, either on a stand-alone basis or a combined basis, but we are very watchful in terms of how we spend CapEx and OpEx. So we aim to do the best. And as I've said, from what I can see right now is that on a stand-alone basis, it's $50 million to $50 million -- $50 million to $55 million, and that's in line with the capacity needed to support our subscriber growth.
Operator: [Operator Instructions] Your next question comes from Nick Harris with Morgans.
Nick Harris: Just my first one. I know, Richard, you obviously just commented that it's very early days with respect to M1. But could you give us some high-level thoughts from what you've seen today just to try and help us understand the similarities or differences between M1's telco network and systems versus SIMBA. And I guess, really, what I'm trying to get to is there an opportunity there for you to leverage SIMBA's cost advantage into M1? Anything you can say around that would be great.
Richard Tan: I will share with you what I can because, obviously, both companies have built up quite an extensive 4G network. I think you heard earlier in the call about Antina. Antina handles the 5G rollout for both M1 and StarHub. So there are synergies, obviously, on the 4G mobile network that can be derived as far as the radio network is concerned, the transmission as well as the core network because equipment-wise, network-wise, there would be significant overlap. But however, having said that, the overlap is, in fact, very, very complementary because for example, spectrum is extremely complementary as well. On the 900, we can combine our 10 megahertz with M1's 5 megahertz. So that will deliver a very good foundation for mobile coverage and quality. So I'm sorry to repeat myself again, it's really early days. But for M1 and SIMBA coming together, we are really excited about the opportunity.
Nick Harris: And maybe just an easier question then was just if I looked at the M1 accounts, they've historically generated some revenue out of Singapore. I was just trying to understand if that revenue is related to the IT business or their telco business and then obviously, the logic being, will TUA or SIMBA have some telco revenue outside of Singapore? That's it for me.
Richard Tan: Yes. The overseas revenue is part of the our ICT business that will be spun off.
Operator: Your next question comes from Hussaini Saifee with Maybank.
Hussaini Saifee: Sure. Some follow-ups. A couple of follow-ups. First is on the spectrum side, Richard, maybe you can help that -- because if we look at consolidations across the globe, at the time of consolidation, companies [indiscernible] do end up giving a little bit of a spectrum back to the regulator. Do you see that as a potential outcome with this merger? Or do you think that it could be one of the outcome? That's question number one. And the second question is, I understand that it is early days, but if you can give us some targets on the synergies, which you can potentially get on the back of network consolidation.
Richard Tan: Okay. I can't comment on spectrum because that would be under consideration, obviously, by the regulator. But on a combined basis, you will see that the spectrum distribution is, in fact, very fair across 3 on a combined basis. Other than that, I really can't say much with regards to spectrum or your other question with regards to targets and synergies. I appreciate the questions. But as I've said, when the consolidation happens, then hopefully, we aim to provide more color.
Operator: There are no further questions at this time. I'll now hand back to Mr. Tan for closing remarks.
Richard Tan: Thank you all for your time and for engaging with our business update. The Board and management of Tuas Limited deeply appreciates your continued support. We look forward to delivering further value and growth in the months ahead. Thank you once again.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.